Penny Himlok: Thank you. Good morning, everyone, and thanks for joining us this morning. On behalf of Kumba's executive team, a very warm welcome to those of you here in the room with us and to everyone joining us on the line. I'm Penny Himlok, Head of Investor Relations, and I'm pleased to be joined by our CEO, Mpumi Zikalala; and our CFO, Xolani Mbambo, who will take you through our annual results shortly. Before we get started, just a quick safety note. As you know, safety is our first study. There are no safety drills today. So, if you do hear an alarm, please follow the instructions and calmly make your way back through the exit through which you entered and please meet in the front where safety Marshalls will give you further instructions. [Operator Instructions] And of course, please take and note the disclaimer, especially with going the forward-looking statements. Turning to today's agenda. We'd like to -- we'll be keeping to the usual flow. Mpumi and Xolani will walk you through our performance for the year, and then we'll open the floor for Q&A's. We also have members of our executive team today with us, and they will be available to address any questions at the end. Thank you. I'll now hand over to Mpumi.
Nompumelelo Zikalala: Thank you, Penny. Good morning, everyone. It's great to see all of you again. And as Penny said, thank you for joining us this morning. 2025 was another year marked by macro volatility with geopolitical tension and trade policy uncertainty that have become, as you all know, for now at least, the new norm. Our priority has again been to limit the impact of that volatility by focusing on operational excellence to be as competitive as possible, whilst we market our product to fully realize the full value of its quality. The business reset in 2024 laid a firm foundation and disciplined execution in 2025, resulted in consistent output and reduced costs despite an increase in waste mining and thus bringing back the mining fleet that we previously parked. We also made steady progress on our UHDMS technology project, a key investment that unlocks more value from our resource base, optimizes rail capacity and strengthens our position in the premium high-grade iron ore market. I'm pleased to say that logistics performance has certainly remained stable. I know that, that question keeps coming up. There's still more work to do, but we are seeing real progress as a result of the collaboration between the National Logistics Crisis Committee, the Ore User's Forum, which Kumba is part of, Transnet and indeed our government. As we move into 2026, I believe we remain well positioned to deliver long-term value for all our stakeholders. Now moving into the results. Let me begin, as I always do, with safety, which, as you know, by now, is our first value. This year, we achieved 9 consecutive fatality 3 years of production at Sishen and as of last week Friday, 3 years at Kolomela. These are important milestones and a testament to the dedication and vigilance of our workforce shift after shift. But success can bring the risk of complacency. So, we know that we still have more work to do, particularly as the UHDMS project changes our risk profile with an increasing number of service partners, particularly at Sishen Mine. While our total recordable injury frequency rate of 0.95 remains well below the ICMM industry average of 2.29 for 2024, we must remain fully focused on our first value, which, as I said, is safety. And we made good progress embedding Kumba's safe way of work through constructive collaboration with our service partners and the implementation of our fatal risk management program, which is a program that encourages our teams to know what it is that can cause them significant harm in a simple and focused manner. On the health and wellness front, we have now passed 9 years with no significant health incidents, and this reflects the high standard of care we apply to occupational health and the safeguards we put in place across all our operations. Turning to our business overview. We benefited from a more cost-efficient base and delivered on our sales, production, as well as our cost guidance. Production was driven by strong growth from Kolomela, whilst improved rail performance helped us with slight improvement in our sales. Higher iron ore prices, lower operating expenses and a stronger exchange rate contributed to a 14% increase in our adjusted EBITDA. In addition, return on capital employed improved by 5 percentage points to 46%, reflecting more efficient use of our capital to generate earnings. On the back of the solid financial performance, we declared a final cash dividend of ZAR 5 billion. And in addition to this, ZAR 1.6 billion will go to our empowerment owners, which include the Sishen Iron Ore Company Community Development Trust and as you know, our frontline employees. This brings the total full year dividend to ZAR 10.3 billion to Kumba shareholders, and this number excludes the ZAR 3.3 billion that's the dividend towards our empowerment owners. We have a strong track record of delivering stakeholder value, and we delivered again bringing ZAR 58 billion of enduring stakeholder value, and this covers the whole range of our stakeholders. With that, moving on to sustainability. Our purpose remains for us to reimagine mining to improve people's lives. And through our sustainable mine plan, we've done exactly that. Water is a vital resource. And although we operate in a water scarce region, both of our mines are water positive, and we share this excess water that we intercept with our local communities, as well as other local businesses as well. We supplied over 16.5 billion liters of water to our communities, providing drinking water to around 200,000 people in our local communities. We also reduced our freshwater withdrawals by 4% to below 7 billion liters, contributing to an overall 19% reduction from our 2015 baseline. We've created over 800 employment opportunities outside of our mines. You know that we need to drive for efficiencies within our own mines. But when you look at the number of 800 jobs, this brings us to a cumulative number of jobs supported outside of our mines since 2018 when we started measuring this to well over 42,000 jobs. In 2024, Kumba became the first African iron ore miner to achieve the IRMA 75 standard and IRMA stands for the Initiative for Responsible Mining Assurance. And as we've said before, not everyone from the mining industry subjects themselves to this level of assurance. You do it because you want to do it. Well, I'm pleased to say that during 2025, both operations maintained IRMA 75, solidifying our position as a supplier of responsibly mined iron ore. Tomorrow, together with the rest of the Anglo American Group, we will be updating the market on our sustainability strategy. I've got to say that over the years, we have made significant progress. And we also, however, recognize that a lot has changed, both within our business as well as broader stakeholder expectations. I am very proud of the work we have done over the years and the milestones that we've achieved and look forward to sharing more details just around our refreshed strategy with you tomorrow. Now moving on to stakeholder value creation. We continue to deliver meaningful impact to our various stakeholders, as I said, through the ZAR 58 billion in shared value. We contributed ZAR 7.4 billion to the national fiscus through income taxes and mineral royalties, helping our government provide essential services and infrastructure to our fellow South Africans. Closer to home, 84% of our employees are from our mine communities, and this is in the Northern Cape province, a province that we call home, and their salaries and benefits, which they get directly benefit the local communities. We also support the local economy by ensuring resilient local supply chains. We spent ZAR 19 billion on BEE suppliers, of which ZAR 3.5 billion was with our local host community suppliers. And here, we focus significantly more on youth and women-owned businesses. For the community more broadly, we invested ZAR 485 million in direct social investment, focusing on the areas that matters the most, and that's health, education, as well as community development. Now I will take you through our operational performance. As I said earlier, it was a solid operating performance. Waste mining rose 6% with both operations gaining momentum over the year. Production was up 1% compared to 2024 and in line with our guidance of delivering between 35 million and 37 million tonnes. We took advantage of improved grade performance to reduce stocks at the mine and return our Saldanha Bay port stocks to more optimum levels of 1.8 million tonnes. And for those who followed us for some time, you know we haven't been at these levels for quite some time. The increased volumes also supported a 2% increase in sales to 37 million tonnes at the top end of our guidance. Next, looking at production in a bit more detail. The overall focus for 2025 was getting the basics right, which for us is operational excellence and cost discipline. While waste mining was at the lower end of guidance, we importantly gained operational momentum through the year, with a 6% step-up in the second half, if you just compare H1 and H2. Waste volumes are driven by Kolomela's 30% increase, while Sishen was hampered by asset reliability challenges and only increased by 2%. As we move through 2026, we continue ramping up waste mining and we will need to invest further in our mining equipment to improve asset reliability, as well as operational efficiencies, and Xolani will touch a little bit on this a little bit later in the presentation. Looking at production, Sishen was marginally lower as a result of the planned drawdown of high levels of finished stock and plant maintenance that we did in preparation for the UHDMS main tie-in that will take place in the second half of this year. This was offset by a 7% increase from Kolomela, in line with our flexible approach to production. Cost discipline remained an important focus, and we realized over ZAR 600 million in cost savings during the year, bringing our cumulative savings since we started our reconfiguration back in 2024 to now ZAR 5.1 billion. And this important work just around the drive for cost efficiencies will continue. Now turning to Transnet's logistics performance. Ore railed to the port rose by 6%, and this was despite the 4 derailments that took place during the year. And I should tell you that the rate that we are seeing outside of the derailments should tell you that, that's actually increasing. Rail performance improved to 84% of contracted volumes, which together with improved equipment availability at Saldanha Bay Port resulted in a 2% increase in our sales. It's encouraging to see the improvement in Transnet's rail performance, and this is a direct result of the joint collaboration between Transnet and the Ore User's Forum. And as you know, Kumba is very much part of the OUF or the Ore User's Forum. The Ore Corridor Restoration program and the mutual cooperation agreement have enabled edge and maintenance to be done more timelessly and also efficiently. The planned 10-day annual maintenance shut, as well as a 26-day shut to refurbish stacker reclaimer #3 in the second half of the year were all completed successfully. The recovery of the logistics network is key to unlocking value, and we are certainly moving in the right direction. However, as we've said before, there's definitely still more work that needs to be done to restore the network to previous performance levels, and this will take some time. In terms of private sector partnerships, also called PSPs, the Ore User's Forum submitted a follow-up response to the request for information in November. As you may remember, we gave our initial response in May, and this was a follow-up response requested by government. So, they played back what they had from all the submissions in May and asked people to comment on that document, and that's what we submitted in November. As we consider the way forward, our key principles for participating in the PSP are essentially as follows. Number one, government needs to retain ownership of the assets with a private consortium using, maintaining and operating the OEC. Secondly, and here, I must add, Kumba is first and foremost, a mining company. We do not have the skills to manage a logistics system. And therefore, we need to partner with the concessionaire who can deliver the right services for us, as well as other users of the line for the benefit of not just Kumba, but clearly for the benefit of other users and ultimately, the country as a whole. Number three, for the concession to work, this should cover the full integrated system. It's the rail, the port as well as freight. And this should be over an extended period to unlock Kumba's life of mine ambitions. And then last but definitely not least, and very importantly, we would want to secure a viable commercial pathway, including the syndication of capital with partners. We certainly look forward to the release of the commercial request for proposal, which is the next phase, simply because this will be a key milestone in the PSP process for the OEC or the Ore Export Corridor. Notably, we've commenced with the work to renegotiate the Sishen logistics contract, which expires at the end of 2027. We aim to substantially conclude the renegotiations by the beginning of next year, which will be well ahead of the expiry of the Sishen contract. And now it's my great pleasure to hand over to Xolani to take us through the financials. Xolani, it's certainly great to have you on board. And I don't feel like Xolani is new anymore because he's certainly already adding value. And I'm sure that this marks the first of many presentations that we'll be doing together. Thank you. Please give him a hand.
Xolani Mbambo: I'm not sure if Bothwell will be pleased when he hears this, because it appears that the numbers we put into the market are positive. And I only joined in January, and I'm graving the credit. So, thank you, Mpumi, for the kind words. It's really a privilege to be here today and for you to be listening to me to present these results. Last year, I had the opportunity to spend time with the Kumba leadership team when they were launching the culture. This gave me meaningful insight into the organization. I got to understand our people, the culture and the values that actually drive us as an organization. I've also been fortunate to visit both our Sishen and Kolomela operations. Seeing the dedication of our teams on the ground has been invaluable and has reinforced my confidence in the strength of this business. So, there is no turning back as Mpumi. So, now let's take a look at the market environment. As Mpumi mentioned, the period under review reflects a complex global operating environment, I'm sure you know of that. It's one that's characterized by elevated geopolitical risks and evolving trade dynamics. This has placed pressure on regional economic conditions, resulting in shifting demands for steel and iron ore products. So, if you look at the 3 regions where we send our product, in Europe, their GDP growth was 1.6% with crude steel output falling by 2%. And that was on the back of weak demand. However, the implementation of import tariffs, CBAM and CBAM is expected to fuel recovery in steel prices in the region. China achieved its GDP growth target of 5% for 2025, although steel output fell by 4.6%. This is because property remained sluggish and infrastructure investment declined. The bright spot was industrial production up 6%, and this is linked to exports, which remained robust. If you look at Asia, their GDP grew by 3.8% and steel output rose 3.2%. Growth was driven by urbanization, infrastructure, manufacturing in countries such as India, Vietnam and Indonesia. So, on the next slide, we look at the iron ore supply and demand impact on prices and premium. Following a strong start to the year, Chinese steel mill profitability came under pressure, as raw material input prices increased. We certainly got a lot of questions in our sessions this morning on that. Additional output from Australia and Brazil resulted in lump premium dropping to record lows. I'm told that we've now put [Technical Difficulty] from Brazil and Australia. Despite the tariff uncertainty and market volatility last year, our high-quality product attracted a quality premium of $10 per ton. Price increases in the latter part of the year yielded positive timing effects and marketing premium of $1 per tonne, a sharp reversal from negative $7 per tonne that we achieved in 2024. This is all good work that's been done by the marketing team. I can see them in front of us here, and I'm hoping they will continue to deliver on that as we focus on production going forward. Consequently, our average realized iron ore price at $95 per tonne was 12% above the benchmark price. What's important is that this is ahead of what our peers have achieved in the market, and it really enforces our strategy of focusing on premium product. So, let's look at the financials in terms of what all of this means. Kumba delivered a resilient set of results. I've discussed our average realized prices on previous slide, which contributed to this uplift in our earnings. If you look at our costs, particularly on C1, they reflect the stronger rand-dollar exchange rate. We delivered solid EBITDA, and I'll talk about this in more detail later. The headline earnings per share increased by 18% to ZAR 45.97, translating into dividends that offer shareholder value, real shareholder value. If you take a look at EBITDA, we achieved ZAR 31.9 billion, which was underpinned by revenue growth, lower costs, as well as positive stock movement. This was partly offset by a stronger rand, cost inflation and lower shipping revenue. We also received a boost from other operating income for logistics underperformance, which we reported on at interim last year. I'm sure you'll recall that number over ZAR 900 million. In total, EBITDA rose by 14%, giving our EBITDA margin a positive uplift of 46%, to 46%, I wish it was 46%. Last year, we were at 41%. What's even more encouraging for me is that our EBITDA cash conversion of 102% reinforced the quality of these earnings that we've achieved. So, not only do you see EBITDA, which in some instances can be removed from cash, we actually converted it to cash for every rand of EBITDA we generated, we generated cash of over ZAR 1, which is excellent. Now let's take a closer look at our C1 unit costs. Our C1 unit cost increased to $40 per tonne, and that's really a function of a stronger rand. In the absence of that, we would be retaining the similar level. In fact, at a constant rate of $18.60, which is what we guided on to the dollar, our C1 cost would be $38 per tonne, coming in just below the guidance of $39 per tonne. So, the strengthening rand isn't helping in this instance. Benefit from positive WIP stock movements and deferred stripping costs were outweighed by stronger rand and inflationary cost increases, as you can see in the chart. We continue to focus on cost optimization to preserve and grow our margins. Now let's move on to our unit costs at the mine level. If you look at Sishen, their cash unit costs remained broadly flat at ZAR 530 per tonne, and that's within the guidance that we provided last year. Sishen's cost inflation increase was offset by lower contractor mining volumes, capitalized deferred stripping costs and positive WIP stock movement. For 2026, we are guiding slightly higher unit cost of between ZAR 530 and ZAR 560 per tonne to reflect lower production later in the year when we actually implement our UHDMS main tie-in. Kolomela's cash unit cost, on the other hand, improved by 7% to ZAR 374 per tonne, and it outperformed the guidance that we gave to the market, which is excellent. Performance was on the back of deferred stripping cost capitalization, positive stock movement and production volume uplift. I'm pleased to say that cost inflation was more than offset by our cost optimization at Kolomela. So, they did a splendid job there. For 2026, we are keeping the unit cost guidance at between ZAR 430 and ZAR 460 per tonne. Now let's turn to our cash breakeven price. As mentioned, our breakeven price reflects our all-in costs. So, when you look at, this is all-in cost -- and this includes sustaining capital net of premium and above plus 62 index. This is where I expect my colleagues on the project side to reduce the CapEx and still deliver the same and then the marketing guys to pump the premium and make sure that they reinforce our exposure to premium product. And as long as we continue to do that, of course, in conjunction with the cost reduction going forward and driving efficiencies, we will maintain that breakeven price at an acceptable level. And all it means for us is at what level as a business should the iron ore price drop before things start to fall apart. So, the lower the price, the higher the -- what I call the safety margin. Improved breakeven price was underpinned by market premium and lower freight costs. Our goal remains to enhance margins by improving breakeven price through cost reduction and improving product premium. I'm saying that product premium improvement. Now let's move on to CapEx. If you look at our capital expenditure for 2025, it was ZAR 10.4 billion. And the key driver for that was ZAR 1.7 billion, which we spent on our UHDMS project. CapEx for this project will be phased in line with implementation sequence, and Mpumi will talk about that later in her closing slides. Our stay-in business, which is key for sustaining our business operationally going forward was flat, and it was in line with our guidance. Again, that's a reflection of our discipline. If you look at our deferred waste stripping, which was mainly driven by higher stripping ratio at Kapstevel, it was relatively high in Kolomela. Over the past months, our teams have undertaken a thorough review of our operating environment, the growth pipeline and the long-term strategic positioning of this business. So, what has emerged is that our mine optimization has given us cost efficiencies and the team that I found have delivered on that. I can't claim it at the moment. As we ramp up activities, we need to drive further cost improvements. These improvements must come through operational efficiency and better supply management. We wanted to fully capture these opportunities. We also want to ensure that we remain competitive and well positioned for the next phase of growth. And for me, competition means we far from the market. Australians are closer to the market. We need to be consciously aware of our cost position all the time. To achieve this, we are stepping up our capital investment program. This will help improve productivity and strengthen our long-term value creation. So, as a result of all of this, our CapEx guidance for this year is between ZAR 13.2 billion and ZAR 14.2 billion. Expansion CapEx is largely driven by our UHDMS, which we've mentioned several times now, is an exciting project, and the balance is on the exploration and technical studies. All of this is for growth. We are refocusing this business on growth. Between ZAR 3 billion and ZAR 3.2 billion has been allocated for this year. We are investing in work to support our future pipeline of life extension projects. And again, Mpumi will talk about this in her closing presentation. The total stay-in business CapEx is between ZAR 6.6 billion and ZAR 7 billion. About 2/3 of that relates to safety, capital spares, plant and infrastructure project or upgrades. Approximately 1/3 is allocated to heavy mobile equipment, which we are recapitalizing. In fact, our equipment in some of our equipment are beyond life and therefore, the agent needs to be replaced and that replacement will result in cost efficiencies going forward, as well as operational efficiency. So, it's quite key that we do that. And as an example, some of our trucks in many cases, are now close to 120,000 hours of operations. And typically, we normally replace at 80,000 hours. And that makes them less cost efficient to operate. The deferred stripping CapEx is expected to be between ZAR 3.6 billion and ZAR 4 billion. That's critical for us to continue to ensure that we open-up enough surfaces going forward for us to continue mining. This is due to mining higher stripping ratio in some instances as well, particularly at Sishen as we access the sections that have got a higher mining stripping ratio. In the medium term, CapEx will remain at similar levels. As you know, our UHDMS CapEx will peak this year and will then continue to reduce until the project is completed in 2029. Our baseline stay-in business, which is run of the mill business as usual, will be approximately ZAR 5 billion per annum on average in the medium term. Heavy mobile equipment, replacement CapEx is about ZAR 2.5 billion per annum on average going forward. Lastly, deferred stripping CapEx will remain at around ZAR 4 billion per annum on average. Now let's look at how we've allocated our capital. Our disciplined approach to capital allocation remains unchanged as a principle. Sustaining CapEx, value-accretive expansion projects and sustainable returns to shareholders remains our priority. For the year under review, we generated cash of ZAR 17.2 billion after paying for sustaining capital. That's a good achievement. ZAR 12.2 billion was used to pay base dividends to our shareholders. That was before allocating ZAR 4.8 billion to discretionary capital. This was largely focused on the UHDMS project together with additional dividends that would have been carried over from 2024 paid in 2025. Our dividend policy remains unchanged, and that's between 50% and 75% of headline earnings that we generate. It's very important that we understand that. We delivered ZAR 12 billion of attributable free cash flow. This has underpinned our Board's decision to declare a dividend of ZAR 15.43 per share for the second half of last year. Together with ZAR 16.60 per share that was declared at interim, our total dividend is ZAR 32.3 per share. And this means 70% payout of our headline earnings for the year. And this is at a yield of 9%, which remains a respectable yield. Maintaining a resilient and efficient balance sheet, especially in this volatile environment is extremely essential. And before I hand back to Mpumi, let me take you through my key focus area as I joined the organization. So, my priorities are very clear. First is to strengthen on cost efficiency. Good discipline over the past 2 years has delivered over ZAR 5 billion in cost optimization across 2024 and 2025, which Mpumi touched on earlier. It's important to continue that focus moving forward. And I will apply a fresh perspective on the ways in which we can be more efficient, and I cannot do it alone. I will do it with the support of the team. Second, is to enhance capital discipline. Cash flow performance need to be a critical focus for this business and every rand spend needs to be strongly challenged. In that context, we clearly have important investment programs in key phases. And these are notably our UHDMS project and HME program. So, going forward, there will be an increased capital intensity in this business. So, it's quite key that we focus on that spend. There will be strong discipline and tight governance on all decisions to ensure that money is well spent. Lastly, we remain committed to paying dividends through the cycle and maintaining our strong policy as it is. A payout of 50% to 75% as a dividend policy is quite strong. On that note, I'd like to thank you for listening to me. And now back to you Mpumi.
Nompumelelo Zikalala: Thank you, Xolani. It's certainly great to have you on board. You've certainly hit the ground running, and it doesn't feel like you've only been here for a couple of weeks. And I'm looking forward to us working this journey together with the rest of our Kumba team. And then back to the room, ladies and gentlemen, before we wrap up, I would like to spend a few minutes running through how we see the picture of iron ore going forward and then make some specific comments around Kumba's future and our next steps to creating value. Turning first to the iron ore market. Our long-term view on global steel demand remains positive. Structural forces including economic development, population growth and the global shift to cleaner technologies will continue to shape and support demand over time. At the same time, the steel industry is becoming more fragmented and multipolar. While Chinese demand is expected to moderate, rising demand from India and other developing regions will more than offset this. And importantly, there's simply just isn't enough scrap in the system to meet this growing requirement. That reinforces strong fundamentals for iron ore as the primary source of iron units. If we focus on lump ore, which, as you know, is our core market, we are seeing interesting dynamics. The lump premium has been under pressure due to margin compression and increased supply. But as this excess supply works its way through the system and profitability improves, we anticipate much tighter markets emerging. The data already shows how lump supply is nearing its peak with most new volumes coming only from costly replacement projects in Australia. With 2/3 of our portfolio in lump, Kumba is well positioned for the shift that we see. Additionally, our product properties are well suited for blast furnace applications. As seen on the chart on the right, our products combined alumina and silica is within the ideal blast furnace zone. And this is the sweet spot that steelmakers operators aim for. Steelmakers blend different ores to reach this zone and many mainstream ores fall outside of this zone. And as a result, our ores are used strategically to optimize these blends. So, this is beneficial for our customers. We also serve a diversified customer base. Our premium lump goes into traditional markets where steelmakers prioritize high-grade ores, while our standard products are sold largely into China where demand is more price elastic. Across the range, our products consistently offer higher iron ore content, supporting stronger blast furnace performance. And with our UHDMS technology set to triple our premium grade supply, we gained the scale and flexibility to support this growing market demand for higher quality iron ore. This is where our product, quality, our technology, as well as our long-term strategy converge. And it is a key differentiator for Kumba as the industry evolves. Now let me give you an update on the progress made on our UHDMS project. We've received quite a few questions around the project. So, 2025 has been an important and productive year for our UHDMS project at Sishen. We've now completed 37% of the overall project, with 90% of the engineering work behind us. For those who may remember, previously, we paused the project because we are not happy with where we were from an engineering design perspective. So, it's pleasing to be sitting in this position at this point of the project. All major procurement has been completed. And because we are following a modular build approach, our Jig plant will continue running during the main tie-in, which will take place later on in the year. I know people have been asking when exactly. It's in the second half of the year, in August to be specific. And during this time, we will use stockpiled material to support consistent sales as we execute the main tie-in. And that's where when we talk about guidance, you'll see the differentiator, but we've essentially said that our sales guidance will remain going forward. On capital, we remain on track to complete the project within our overall capital budget. And as a reminder, we are phasing our investment in line with the execution of the project, which follows a modular approach. Our total capital spend on the project will be ZAR 11.2 billion and in line with the overall project progress, we've invested ZAR 4 billion to date. The construction of our first coarse and fines modules has progressed steadily. In parallel, the new coarse and fines modular substations has been completed. The bulk of the construction was actually done offsite, and we then moved the constructed modular substations to the site. And these are in the process of being connected to the first modules. The construction of the first modules has been slightly slower, but this has allowed us to learn the lessons, and we will apply these into subsequent modules. We anticipated this and planned for the modular approach simply because we knew that constructing within an existing plant was going to allow us to land. So, it's great to see these lessons coming through. These lessons will also position us well as we move into the main tie-in later this year. We are on track for the main tie-in with critical milestones achieved. And what's good for us is that a portion of the work originally planned to take place during the tie-in was actually brought forward for execution ahead of the main tie-in in order to derisk the scope of the main shut where possible. So, we wanted to limit the amount of work that we'll do in the second half of this year. Our UHDMS project certainly remains one of the most exciting projects in our pipeline. The technology not only enables us to increase the volume of premium grade products, it also allows us to use low-grade material more effectively, cutting waste and improving our overall cost efficiencies. And I've spoken about this before to say we are reducing our cutoff grade from 48% to 40%. And the economics around the project speak for themselves. EBITDA margins above 50% and an IRR of over 30% means that payback from full production is just 3 years. But for me, what matters most is the long-term benefit. UHDMS gives Sishen meaningful life extension and strategic flexibility for years to come, fundamentally delivering long-term sustainable value for all our stakeholders. Next, I would like to talk about the strength of our mineral endowment. Now quite a few of you have been asking us about the future of our business. And now I'm delighted to share some exciting news around this because you've been asking us to share a little bit more. Right now, we have approximately 764 million tonnes of exclusive mineral resources, and that's a powerful foundation. 471 million tonnes of that is already confirmed from our 2024 resource cycle. And we've added another 293 million tonnes, 2/3 at Sishen and 1/3 at Kolomela, which really shows that our exploration program is doing exactly what it's meant to do. We are not slowing down. Our exploration teams are actively expanding our understanding of the ore body and building options for the future. As I've said before, the Northern Cape province is a very interesting province when it comes to iron ore. At the same time, our mine planning engineers are enhancing pit designs to optimize the extraction of the ore body. Our ore reserves now stand at around 802 million tonnes. And since 2022, we've added 175 million tonnes before depletion. Now that's a big step forward and speaks to the long-term resilience of our business. We've just added another year to both Sishen and Kolomela's life, taking their life of mine to 2041. Our ambition is to, however, increase life of mine, and we are working towards a value-accretive pathway to improve or increase or extend Kumba's life of mine. I've already spoken about our UHDMS project at Sishen, which is exciting. I'd like to zoom into Kolomela. Here, we are building on a strong foundation. We are making real progress on 2 important resource areas. Firstly, Ploegfontein, already part of our resource base is moving through further studies and additional drilling to further increase our confidence around this great resource. I'm also pleased to announce that Heuningkranz has now also been added as a new resource area and it's progressing along the same track to convert its resources into reserves. Both areas make smart use of Kolomela's existing infrastructure, which will keep capital cost down and speed up future development timelines. So, in summary, our asset base is stronger today. We're investing in the right work, the studies, the technology, the exploration, as well as the increase in our asset base through the recapitalization of our HME fleet, which Xolani spoke about earlier. All of this is aimed at unlocking high-quality iron ore tonnes, improving margins and extending the life of our mines. And key to this is that it needs to be value accretive. And we are doing this in a disciplined way that ensures long-term value for all our shareholders. And that then brings me to our full year guidance. For 2026, we expect total production of between 31 million and 33 million tonnes, reflecting the main tie-in of the UHDMS project. As you recall, we guided the same number last year, so this hasn't changed. This is linked to 22 million tonnes from Sishen and 10 million tonnes from Kolomela. We have also maintained our sales guidance of between 35 million and 37 million tonnes, as we plan to supplement production with finished stock. Our C1 unit cost guidance is $45 per tonne and remains unchanged in real terms. The move from $40 to $45 per tonne is purely an exchange rate translation effect. Previously, our guidance was based on an exchange rate of ZAR 18.60 to the dollar and using a stronger exchange rate of ZAR 16 to the dollar naturally lifts the dollar reported cost. As you've heard from Xolani, capital expenditure is expected to be between ZAR 13.2 billion and ZAR 14.2 billion for the full year. Now before moving to Q&A, I would like to remind you, as I always do, of our value proposition. As we look ahead, the message is simple. While the macro backdrop will remain uncertain, we are clear on what matters most and executing well on what we can control. My priorities and my team's priorities for 2026 are very clear. Firstly, to continue lifting and improving on operational excellence because you can never stop on that, as well as driving cost efficiencies, Xolani spoke about this and the great execution on both our UHDMS project, as well as HME investment. Secondly, working towards logistics stability and optimizing risk-adjusted returns with long-term logistics capacity through the right partnerships. And last but definitely not least, understanding and advancing our potential value-accretive pipeline of life extension options, and I've spoken about them. And these will all be aimed at meeting market demand. Now across all of these initiatives, we will keep really tight control of capital and a strong focus on cash flow performance. That stands to ultimately benefit all of our stakeholders with Kumba in the best shape it can be to deliver results today, tomorrow and beyond. I'm exceptionally grateful that we have strong teams, and these are across all the various areas of our business. We also have a very supportive Board and committed partners across our stakeholder base to achieve this. And of course, we have the privilege of working with world-class assets. And that gives me absolute confidence in our ability to deliver sustainable value for all our stakeholders. With that, I will now hand over back to Penny, who will lead the Q&A session.
Penny Himlok: Thank you, Mpumi. We'll now open for questions firstly in the room. I see already a hand up. And then we'll move to the questions on the webcast line and the conference call. Thanks. I see Tim has his hand up.
Unknown Analyst: Congratulations on the results. I thought the received pricing was very good and operationally very solid, so well done. I'm just interested in -- I've got 2 quick questions. The first one, just on your resource and your reserve increase and resource change or your reserve and resource change. Just wonder if there's a change to the life of mine stripping ratio, just how you see the pit shell, how we should think about stripping over the course of life out to 2041. And then you've sort of indicated that you see potential for life beyond and you've declared this big resource. Perhaps you could just speak about the process of the sort of the ore body and what that means in terms of what it would take to convert that resource into reserve? Do we need higher prices? Or is it just a drilling issue? And then lastly, just a quick one. Kolomela, the cost was a really good cost result, but a bit of a step-up in costs for this year. If you could just give us a bit more color, that would be appreciated.
Nompumelelo Zikalala: Thanks, Tim. Do you want us to answer, Tim or do you want us to take a few more questions, Penny?
Penny Himlok: I think we should as Tim has asked quite a few questions, let's address those.
Nompumelelo Zikalala: Okay. Thank you and it seems we will not remember all the questions. Tim, starting with the first question, and I'm going to ask our Executive Head of Technical and Strategy, Gerrie, to add to this. So, in our guidance slide, you would have seen that we talk about both this year's strip ratio, as well as the life of mine strip ratio, which essentially caters for the endowment that's already been converted into reserves, and that forms part of our life of mine plans. So, when we guide on those figures, that's already, I guess, built in. And as we've said before, clearly, Sishen's strip ratio reduces if you just look at this year and the future years. And if you look at Kolomela, it's fairly flat. I mean it's a slight difference. I'm going to ask Gerrie to talk a little bit just about the phasing and to also talk about the process that will now follow for both Ploegfontein as well as Heuningkranz, just the move from resources to reserves. Thanks, Tim.
Gerrie Nortje: Yes, thank you, Mpumi. Tim, some really good questions, as always. Look, I think, firstly, just on the strip ratio after 2041. Of course, we can't guide on that at this point in time. We've only declared resource. we have not yet declared a reserve and as such, it's not included in the life of mine plan yet. So, maybe I'll start with the approach that we follow in terms of how we optimize our business. So, you will see in the resource reserve statement that we apply a 0.7 revenue factor for reserves. The reason we do that is to ensure that we always have a healthy margin throughout the life of mine. Now of course, you can follow different approaches and will impact the margin. What we have changed fundamentally last year as part of the business reconfiguration is to take a cost approach. So, not to only respond to prices, but to make sure that we target the right cost position. Now if we look at the current guidance and the cost position, essentially, if you look at CBEP, we are attempting to remain within those ranges over the life of mine and even when we extend the life to maintain a similar cost position. So, our objective is to remain below the $70 per tonne. And as such, when we optimize the mine, enhance the life, we target that, and that's why we then derive the revenue factor, which will then obviously declare the reserves. Now, Ploegfontein and Heuningkranz has been in the portfolio for a number of years. Ploegfontein previously declared as a resource, Heuningkranz only declared now. The reason we declared it now is we do meet the requirements from an RRPEEE perspective, and we are comfortable that it meets the requirements to declare resource. Now it forms a really important part of the life extension of our business. What we are doing at the moment is improving the geological confidence and the study work. As soon as we get to a pre-feasibility level and the geological confidence at the required levels, we can then declare a reserve. Now typically, it takes us about 2 to 3 years to work through the study phases. It could be a bit longer, but we have time if you consider by when we have to respond to extend the life of mine. So, immediate focus now is to drill additional holes at both Ploegfontein and Heuningkranz, as well as other areas of Sishen to complete the studies, put it through the different stage gates and then, of course, declare a reserve. At that point, we will then be able to update the life of mine and we'll also then guide on the life of mine strip ratio. But we are attempting to remain at similar levels over the life of mine in terms of strip ratio. And of course, it will give us optionality of extending the life quite significantly. Now if we just look at Heuningkranz quickly, I'll just say one more thing for me. So, Heuningkranz is about 20 kilometers away from Kolomela. Ploegfontein is located on the Kolomela mining reserve, as well as Heuningkranz actually. So, we don't anticipate massive capital investment to unlock the resources and reserves in time. Reason for that being we can leverage the Kolomela infrastructure and the hub to essentially mine those areas. So, that's why we really like this. Secondly, if we look at the cutoff grade that we've applied for Heuningkranz, 61% Fe, the bulk of that will essentially be DSO. So, we will not require extensive beneficiation. Again, lots of benefits in terms of tailings requirements, as well as beneficiation requirements. So, it is essentially part of our strategy to extend the life without increasing the cost and making sure that the margins can potentially increase. So, I added quite a bit there, Tim, but...
Nompumelelo Zikalala: Yes. So, Tim, as you can see, we're very sensitive not just to the excitement around the resource, but essentially how we'll ensure that whatever it is that we look at will be value accretive. And then coming back to Kolomela cost. Thanks, Xolani.
Xolani Mbambo: Yes, if you look at the performance of Kolomela in 2025, there was a benefit of uplift in volume in terms of the tonnage. They actually overperformed, and that would then be a function of a lower cost per tonne. The expectation going forward is that the volumes will normalize, of course, at a similar fixed cost. And the other thing that we're addressing now through our colleagues is, if you look at the drilling machines, they're quite old. And therefore, the cost of maintaining those and operating them is becoming a challenge. And that's one of the reasons why we've now have got that replacement program going forward, which will assist in ensuring that those machines are replaced and therefore, start running efficiently, both from operational perspective, as well as from cost perspective. So that's what guided our view going forward.
Nompumelelo Zikalala: Yes. And Tim, to close off on this, we actually spoke about this during the period of the reconfiguration that -- so, you would have seen a higher differential between what we said around the strip pressure for the year and the life of mine strip ratio. So, we spoke about the fact that we would see an increase in terms of the stripping that we need to do at Kolomela, still very much part of the plan that we've spoken about before, which is linked to Kapstevel South. So, we still remain on track.
Penny Himlok: Brian?
Nompumelelo Zikalala: Brian?
Brian Morgan: It's Brian Morgan, RMB Morgan Stanley. Just a question -- 2 questions, actually. So, on the HME replacement that you've spoken about, can you just tell us, is it the '26, '27 story? Does it begin to roll off later on? Or is this a new normal? I think in the past, we've seen these sort of cycles and they last for 2 or 3 years and then they roll off. Just if you could just give us a bit of color on that. And then, just on the rail contract, I think I've asked this before, but I'm still not sure in the answer. If we're aligned third-party access onto the rail and you've got the PSP on the maintenance and everything like that, who would you be contracting with? Who are you negotiating your new rail contract with?
Nompumelelo Zikalala: Thanks, Brian. Two interesting questions. I'll take the first one just for the HME replacement. Firstly, I think our teams have done a good job. So, if you consider that effect, I'll use a trucks example, and I'll talk about drills as well, Xolani spoke about that. Typically, other miners would do their replacement at around 80,000 hours, but our teams had a look at saying, could we actually extend the hours on a truck without spending significantly more because as you can imagine, it's more of an OpEx issue. But you get into a space where it becomes more expensive to run the fleet and your efficiency start reducing. So, we've stretched it, and that's why Xolani spoke about the fact that some of our trucks are now sitting at close to 120,000 hours. But clearly, we are not just opening the pockets from a capital perspective. We are still following a logical approach to say, how do we do condition monitoring, what do we replace, et cetera. Now if I use the example of drills that Xolani spoke about from a Kolomela perspective, this one is a simple one. The drills are there, the spares are obsolete, so you can no longer get them. So, what does that mean? It means that you can't maintain that fleet. And with the replacement, we are trying to do a like-for-like, which will help us with the balance of our spares that we essentially keep. So, we're following, I guess, a logical approach that ultimately says that as you replace the fleet at the right time, you get a swing in between the OpEx, which would have started going up and your CapEx clearly because you do the investment and that essentially then drops your OpEx on a go-forward basis. And then the second thing that you get is just around productivity of the fleet itself. So, what's the timing, which is your question? So, you would have seen that we guided for next year, but we essentially gave you guidance for the medium term, which is typically 3 years. And we will continue doing further optimization work. But as you can imagine, it's not as if the entire fleet is sitting with the same number of hours because we typically would have bought the fleet at different intervals. So, we'll definitely keep you updated on that part. The key is, we are following a very logical approach with regards to the replacement of the kit, and we essentially think about the life cycle cost and balancing both OpEx and CapEx. Let me just check if Xolani or Gerrie you want to add anything?
Xolani Mbambo: No, go ahead, yeah.
Nompumelelo Zikalala: And then on the rail contract, it's an interesting one, Brian, because as you say, there are multiple things that are taking shape. So, the reforms are taking place. And this is where you see the doors being opened around PSPs, and we are tracking that through Vempi, who heads up the space exceptionally well for us. The work around PSPs with us being clear that when we talk about PSPs, we don't necessarily want to be a concessionaire because people started saying, do you want to be a rail company? And we said, no, no, no. We just want to partner with the right people. And then secondly, what's also taking place within the reform space is exactly what you've spoken about, the train operating companies. So, we're keeping track in terms of what's happening in that space because ultimately, this is all about, I guess, the liberalization of this space. But it's just that the multiple things are taking place at the same time. At the same time, we've still got a contract. So, the other elements are maturing, but they are not yet finished. So, it is just right that we continue with the renegotiation of our contract. For us, what's been pleasing is that in engaging with Transnet, they also want to go through the renegotiation because if you think about them, they are also thinking about the fact that they want security. Clearly, the different things are happening at different timelines, but we are moving them in parallel and making sure that we are very much mindful of what's happening in the various spaces. The key, however, is that as various things taking place at the right time for the right reasons. It's just that we need to make sure that we remain on track just in terms of the various monitorings. Vempi, do you want to add anything, go for it.
Unknown Executive: Good morning. Hi, Brian.
Nompumelelo Zikalala: Head of Logistics. Thanks, Vempi.
Unknown Executive: Brian, just a quick comment. I think there's 2 things that you need to understand. The first one is, we always thought that the PSP work will happen before the contract renegotiation takes place. We've now seen that, that is slowing down a little bit, which means that we need to renegotiate the contract now before it expires at the end of 2027. So, that's the first thing. The second thing is the regulatory reform that's happening at the moment means that we are going to renegotiate the contract with Transnet from a freight rail and a port perspective. So, our new contract is likely going to be with freight rail and ports, but it's going to exclude the infrastructure manager because Transnet is now being split up in the infrastructure manager and also the rail and port operations. What we are considering at the moment is to see whether we can move closer to TRIM, which is the infrastructure manager because the infrastructure management is going to be the critical part that takes us back from the levels that we are seeing at the moment to the design capacity that we all want to see in a couple of years' time. So, although we're contracting or potentially going to contract with Transnet freight rail and port terminals, we're also keeping the options open through the network statement to see what options there are to apply directly from slots or for slots directly from TRIM.
Nompumelelo Zikalala: So, we'll stay close to all the various aspects that are moving, Brian, yes.
Penny Himlok: Okay. I don't see any more hands in the room. If there are no further hands, I'll go to Chorus Call. The first question is from Shashi from Citi. He's asked, how much of the operating cost benefit can we expect from the mining fleet recapitalization program? That would be for you, Xolani.
Xolani Mbambo: Yes. That's a very good question. So essentially, what we -- the way the process is going to run is that as the, as the equipment gets replaced or just before it gets replaced, there will be a business case for each of the equipment in terms of what it does on the maintenance cost in relation to its replacement. And that will start coming along as we actually execute on implementation. So -- and also because we're going to be dynamic around a choice whether we stretch some of the machines so that we've got the staggering. It's not a question of having a view at this point in time in terms of how it's going to shape the maintenance cost going forward. But certainly, as we run through the business plan, it's one of the things that I'll be looking at in terms of if you execute on a particular replacement of, let's say, the truck what are the maintenance cost of the existing truck that is being replaced and what then happens on the business plan to make sure that those savings are actually captured. And if you don't see that coming through our EBITDA going forward, then I'll be here to be challenged on it. So, we don't have a -- I wouldn't say here and say I actually do have a view of what that looks like, but I certainly will have a view as each equipment piece gets replaced.
Penny Himlok: Thanks, Xolani.
Nompumelelo Zikalala: Do you want to add...
Gerrie Nortje: I'll just add one more thing. So, remember, there is a bit of a lag. Now of course, there's a clear cost benefit in the recapitalizing fleet. If you consider the capital required to essentially continuously replace components versus a new equipment, you have a number of years where you don't spend anything on components. So, there's a huge cost benefit. The fleet is quite large. So, it does take a bit of time to get through it. And when you start getting through it and the lag starts coming through, the cost benefit will be clear. And I think the cost benefit will be in both the CapEx as well as the OpEx. But I think just be mindful that the fleet is large. It takes time and it's got a bit of a lag, but when it comes through, it will be clear.
Penny Himlok: Thanks, Gerrie. Well, maybe we should give Timo a chance. There's a question on CMRG that's also come through. That's from Anton Nolo. He's asked, how much of an impact is the dispute between the major miners and CMRG going to have in the iron ore price and the lump premium?
Unknown Executive: Thank you. I was feeling a bit left out, so I'm happy to get a question. How much about the impact on the iron ore price from the CMR dispute? Well, when you talk about the dispute, I think you're referring to BSP's dispute with CMR. I should add that we are engaged in discussions with CMR. We have been for much of 2025. They are not easy discussions. They have accelerated late in 2025. They have intensified, but they are very constructive discussions, I must say. There is a bit of a shift in the power balance between buyers and sellers in the iron ore market, given that CMR represents probably 2/3 to 3/4 of overall iron ore imports into China. So, they are forced to be reckoned with. It's too early to speculate what the outcome of our discussion with CMR is going to be. We continue those discussions. In fact, Ibrahim and myself, we're on our way to Beijing next week. We were there in January. We've got our next meeting lined up for March also. So, we are in those discussions. They are in a very positive spirit being conducted, and they span many elements, the use of index. I mean, many elements are included in those discussions. So, it's too early to speculate where we're going to land with CMR. Impact on the lump premium specifically, I really don't expect much of an impact on the lump premium at all from the CMR discussions. The lump premium that you've seen for the past year, a lot of people focus on the low lump premium that we've seen recently. But keep in mind that for the year as a whole, the lump premium was pretty much in line with what it was in 2024. We've started seeing a recovery in the lump premium. It's got nothing to do with CMR. It's got to do with the fact that the lump premium was really low, mills have started using more lump. The share of lump in that burden has gone up by about 1 percentage point already. I think we would have seen a stronger recovery in the lump premium had it not been for the very strong metallurgical coal prices. So, the lump premium is on its way back, I believe, to a level of $0.15 to $0.20 per dmtu where it has been. But keep in mind, the lump premium tends to be extremely variable. So, we are starting from a low base now back to that $0.15 to $0.20 level. Longer-term, we continue to be very positive on the lump premium. And the slide that we showed indicates that we think we are nearing peak supply in lump and that from a couple of years out, we're going to see a steady reduction in the availability of lump, coupled with a continued increase in the use of lump in blast furnaces, I think that's a very, very positive picture for the lump premium.
Penny Himlok: Thanks, Timo. And we have a question from Andrew Snowden from [indiscernible]. He's asked, and this would possibly be for you, Xolani, to speak about the impact on cash flow from potential working capital release in 2026 as we draw down inventory. Can we give any color on this by way of guidance? Andrew likes to ask for more information and we will have a chat with Andrew when we're down in Cape Town, but maybe we can just give him some highlights.
Xolani Mbambo: Yes. Look, it's a tricky one. So, essentially, you'd have seen an uplift in our volumes on the stock side, both from WIP and to an extent from last year, you'd have seen finished goods or the saleable tonnes in terms of the mix more on the port than what we'd have seen in the prior year. And of course, all of those will wash through the income statement. And what will then happen is unless we stick to the mine plan that calls for more, we should see no impact in working capital in terms of the stock movement. But if at the moment to deviate from that, then of course, you'll see a negative effect on your income statement, as well as on your cash flow in terms of the movement. So, it's a function of us making sure that as we mine, we stick to the mine plan, so that the flow of WIP movement remains constant in terms of the cash flows. That's how I can give as a guidance in terms of what you're looking for. But on the one on one, we can perhaps go a bit more detail to understand specifically what is it that you'd be looking for on that cash flow.
Penny Himlok: Thanks, Xolani. We've got a question from Katekar from Investec Bank. She's asked about the UHDMS tie-in in August, if it's been fully derisked? And if not, what are some of the aspects that could still surprise?
Nompumelelo Zikalala: Yes. Thanks, Katekar. So, I guess a couple of things around the tie-in. One is the planning of the actual tie-in has been completed. And that's fundamental because we wanted to conclude the planning and also do assurance on the plan because you typically have our own team, and we bring in additional experts to say, is there anything else that we should think about? But we're in a good place. The second thing is we spoke about where we are with regards to the procurement and also the selection of the company that will be leading the tie-in. The good thing is that we are not taking one of the companies that are working on the modules and asking them to work on the tie-in. We're going with a separate company because we don't want them juggling balls between what they are doing on the modules and what they are doing on the tie-in. We want them fully dedicated to the tie-in. We've already onboarded them, a solid company. We've had to pay slightly more, but it's okay because we want the right skills to come in and execute the tie-in. The third thing is that, our teams looked at the scope of the tie-in and looked at work that they could do -- that they could essentially do upfront, and we supported that. They started this work in 2025, and it will continue, because we want to execute as much as we can before the main tie-in because with the main tie-in, clearly, you stop everything. But if you can try and do some of the work upfront, it just reduces the level of complexity, clearly, not completely, but we've aimed at doing our best around this. And then I mean, last but definitely not least, we are also thinking about, I guess, all the various aspects around the tie-in, not just looking at work that will be happening within the project, but also the interface just around work that will be done by our own other Kumba team, so our stay-in business capital team because we want to do opportunistic maintenance. If the plant stops for a couple of months, it makes sense to try and do as much maintenance as possible because the plant is there and it's available. So, the interface of the various pieces of work has been well thought through. We've brought in a plan who's looking at all the various interfaces and how all the aspects will integrate. So, I guess that go. In terms of just front-end loading, think about it like this, it's February. We are already talking in detail on the tie-in. We will assure this plan at the end of March, rolling into the beginning of April because we want to land as much as possible. So, we're not leaving it and saying, let's just conclude the plan in June or July. No, it's a major one for us. I guess then what are the risks? I'm a realist when it comes to projects because sometimes there are some unknowns that may take place. So, how have we thought about dealing with these risks? We've thought about the level of stock that we have ahead of the tie-in. And I know people used to ask us why are you carrying these volumes of stock, so 7.5 million tonnes last year. Well, it's there not just for us to meet our production guidance this year, but it's also saying if for whatever reason something happens and the tie-in takes slightly longer, we could just continue selling out of stock. The other thing that we've also thought about is that during the tie-in, the only section that will be on full stock is the dense medium separation processes linked to our coarse and fines DMS. But the rest of Sishen actually has a jig plant. That jig plant will continue running and Kolomela will continue running as well. And that's to cater for any other eventualities that may take place, either with the tie-in itself or the commissioning phase or the ramp-up post the tie-in. So, we've had lots of thinking around this. And Gerrie, I'll check if you want to add anything?
Gerrie Nortje: One thing, Katekar, so, I think Mpumi covered the front-end loading piece. What we've also done as part of the main shut is we've gone with the P90 schedule. So, we have built in contingency allowance for any sort of delays or slippages. Can it be longer than that? Yes, it's possible, probably not likely, but it's possible. And I think Mpumi covered the contingency plans that we have in place. Maybe last comment, we also have Kolomela mine, and we always consider how we can use Kolomela mine to further derisk in the event that we have to. So, essentially, again, looking at this from a portfolio point of view. So, both production as well as stockpiles, as well as additional processing capacity like the Ultra DMS at Kolomela, for example.
Nompumelelo Zikalala: Maybe Gerrie, let me just add one more. So, the P50 schedule said 75 days. The P90 schedule said over 100 days. We have planned for the longer schedule. So, typically, you would go for the shortest ever possible schedule. We are saying, let's plan for the longer schedule, which assists us with derisking any eventualities that may take place. What's good is that, as I've said, we've selected the contractor that will work on this. Their days because clearly, they've got the plan, which we've then integrated into our broader plan has a shorter duration. But still, we've planned on the P90 schedule. So, Gerrie and I normally have this discussion. We talk about both sides of the risk. So, either it may take longer, but it may also take a shorter period because we may be closer to the P50 and closer to the dates that have come through from our contractors. But we are taking a very, I guess, I mean, I've never seen our teams looking at this level of detail hour-by-hour, what will be done where in which section of the plant and who will be doing it. And that's the right to do -- the right way to do it, yes.
Penny Himlok: Thanks, Mpumi. Thank you. Back to our favorite topic, Transnet. We've got a question from Thobela Bixa from Nedbank. He's asked, rail to port has been up 6%, but sales only up 2%. Is there a bottleneck at the port? So that's the operational question, and we have a strategic question on logistics after this.
Nompumelelo Zikalala: Yes. So, Thobela, maybe let me just take this one. So, when we spoke about the independent technical assessment, we looked at everything. We looked at rail and we looked at the port. And in as much as there's work that needs to be done on the rail side, there's also work that needs to be done on the port side. And the approach to the ore corridor restoration program takes a holistic approach because to the question, you don't want to have one section running and another not running. And then we spoke briefly about the 26-day additional maintenance that needed to be done as part of the refurbishment of stacker reclaimer #3. All that I'll say is that when Vempi and the team work with Transnet, they take a holistic approach. It's the whole integrated system.
Penny Himlok: Thanks, Mpumi. Katekar, just made a small -- another little add-on to that Transnet question also from an operational perspective, and that is just that your production guidance has been actually unchanged and will certainly change in 2027, 2028, it says 35 million to 37 million tonnes. Does that mean you don't really have that much confidence in the recovery of the rail and port, I guess, in the short term?
Nompumelelo Zikalala: Yes. Thanks, Katekar. So, we've taken a balanced approach to this. The independent technical assessment identified things that need to be done. And there were 2 pathways. It was either stopping the entire infrastructure and fixing everything in a couple of months. And clearly, that wasn't ideal. It would have had a significant impact, not just to our business, but to Transnet as well. And secondly, one would have needed a lot of money to do all that work. And then the second pathway was actually phasing the work, and that's exactly what the Ore Corridor Restoration program work face. We just need to be mindful that the things that are broken still need to be fixed. So, if I look at this year, they've actually added a second shut, and we support this. So, this is the annual maintenance shut. We typically talk about the maintenance shut that's normally a 10-day shut that takes place in the second half. Well, this year, we will have 2 shuts, one in the first half and one in the second half. And the good thing is that during this period, they will actually be doing catch-up on the backlog maintenance. So, Vempi, I don't know if you want to add anything to that?
Unknown Executive: I think you've covered it well. Just what's standing between us or the system from where it is at the moment and getting back to the 60 million tonnes per annum that is seen before is again what you've spoken about the capital replacement. And there's 2 things that need to happen. Firstly, we need to help Transnet with the planning and the procurement that needs to take place to get all of the orders done, so that the work can take place, firstly. But secondly, we also need to find the right commercial vehicle for the money to be spent. So, we know that there's this budget facility for infrastructure that governments made available to Transnet, but they also need the vehicle for that money to be spent. So, those are the 2 things that are standing between us and getting back to 60 million tonnes per annum for the ore corridor. And that's why we're comfortable with the levels that we've guided over the next year.
Nompumelelo Zikalala: And then the longer-term, it's just a recognition of the fact that this is not a quick fix and the allowance for the time to actually do the work because you run the system outside of that time. I guess maybe just one last thing. If you think about it, last one is this double the amount of the annual shut period, but we've kept the guidance the same. That actually talks about the fact that we expect to see a higher operating rate when the system is running. It's just that you'll still stop it for, I guess, 2 separate durations. And we would also support this being repeated next year simply because the work needs to be executed.
Penny Himlok: Thanks, Mpumi. One question also on Transnet or the actually the PSP reform process from Thlaku from SBG Securities. He's asked that you've mentioned the PSP info reform process has somewhat slowed. Should we assume a longer time line before private operators meaningfully increase rail throughput in general? Sorry, what -- could you expand what these key bottlenecks are that's holding back the process?
Nompumelelo Zikalala: Yes. I think let me take this one. So, Thlaku, if you think about it, there was the initial RFI period, then the PSP unit came to play back what they had, and this was over 700 pages. And I've got a wonderful team. So, they looked at these pages together with the rest of the Ore User's Forum, and we provided feedback. And the reason why we did that is because the last thing that any of us want is to see a release of the next phase or the RFP phase that's not bankable. So, it taking longer shouldn't be seen as a negative thing for as long as it will assist in terms of improving the quality of the output of that commercial RFP that will essentially come out. Clearly, if you track what's happening within the country as a whole, you may have seen that there's been a schedule that's been released for 3 other RFPs in other corridors. We, from our side, are waiting for the release of our RFP. But clearly, to Vempi's point, we are mindful of the fact that with that taking place at a -- within a slightly longer time frame, the work that still needs to be done needs to be done and that's why we've got the Ore Corridor Restoration program, and we continue working with Transnet.
Penny Himlok: Okay. We've got another question on the Ploegfontein, Heuningkranz. There's been a question from Bruce Williamson from Integral Asset Management. He's asked, what is the early indication of the FE average grades that we are seeing at Ploegfontein and Heuningkranz and also lumpy ratios? That's from Bruce Williamson.
Gerrie Nortje: So, just on Heuningkranz, firstly Heuningkranz-Kolomela combine 150 million tonnes of resources. Cutoff grade applied at Heuningkranz 61% FE doesn't speak to the average. It speaks to the cutoff grade. The average grade is about 65%. So, it's fantastic, I mean it's what we like to see, and it's actually higher than what we have at Kolomela mine. At Ploegfontein, we apply a 50% cutoff. The reason we do that is because we still have an ultra DMS at Kolomela mine that we can use to beneficiate some of the medium-grade ores. The average grade again is higher than that. Our thinking is that when we -- as we sort of progress the exploration and the studies work and we get closer to declaring reserves, we'll be able to specifically guide on that. But our thinking at the moment is that we have to come up with a blend. So, whilst Kolomela is still mining the current pits, we start mining Ploegfontein and Heuningkranz and essentially have a complex approach to it rather than depleting Kolomela mine then going to Ploegfontein then going to Heuningkranz. Now of course, that also gives us fantastic optionality at Sishen mine because, again, we look at it from an integrated perspective. So, we will now be able to rebalance the entire portfolio to ensure the life extension is material as opposed to just sort of extending by a few years every time we've done a study. Now the timeline is about 2 to 3 years to do the study work. The confidence is actually quite high for Heuningkranz, the bulk of it is already at an indicated level. So, the drilling now is focusing on essentially getting that up to a measured level. So, a few things we have to understand just in terms of permitting. It is part of the Kolomela mining right. But of course, there's a number of additional permits that we just have to revisit, make sure that we're not seeing a material change and get the drilling and confidence up. But our intention is to maintain the lump fine ratio, as well as maintain the average FE spec or improve going forward.
Penny Himlok: Thanks, Gerrie. Anything to add, Mpumi?
Nompumelelo Zikalala: No, I think he has covered it exceptionally well. I have to say I'm excited. I mean I look at the level of passion from all our various teams. And in this space, it's our geologists and our miners. It's good work that's been progressed.
Penny Himlok: I'm mindful that we're reaching the close of our time. I just wanted to check if there's any questions on the webcast link? I see there are none. Okay. There's just one last question that we now have, and that's essentially regarding the fleet in terms of the recapitalization. That's basically from Bruce Williamson again. He's asked, with the next range of fleet purchases, will that move into the autonomous space? And what impact could that have on employment?
Nompumelelo Zikalala: Yes. I think I'll take that. So, Bruce, interesting. People look at autonomous as if it's something that's far, but I'm not mindful of the fact that we've actually got a portion of our fleet that's already autonomous. So, if you go to both Sishen and Kolomela and look at our drill fleet, you'll see 2 patterns, one with blue cones, which means autonomous, fully autonomous, somebody sits at the control room and runs that fleet. And then you'll see one with normal cones, which essentially means that there's still the person that's sitting and operating that machine. So, we should never see it as something that we should be scared of looking at. And I can certainly say that we will, on a continuous basis, particularly as we look at the next wave of replacement, consider autonomous because ultimately, what you do is you look at the business case of everything. And then you look at the implications of that. But I don't ever want us to see the move towards autonomous as a negative thing. And because it's not, I mean if I look at our teams at Sishen and Kolomela just around the drill fleet, it's interesting. All of a sudden, if we have an operator who's a pregnant female, as soon as they find out they can't operate the drill. But now guess what, they continue doing their job from the control room. So, yes, I can definitely say that as we look at the next wave, we will always consider all the various options and clearly consider the implications, yes.
Penny Himlok: Thanks, Mpumi. And that concludes our Q&A's for today. Thank you, everyone, for joining us today, and please stay for some refreshments. We always look forward to catching up with you. Thank you.
Nompumelelo Zikalala: Thank you, Penny.